Operator: Hello, everyone, and thank you for joining the PureTech Health 2025 Half Year Earnings Webcast. My name is Sami, and I'll be coordinating your call today. [Operator Instructions] I would now like to hand over to your host, Allison Talbot, Senior Vice President of Communications, to begin. Please go ahead, Allison.
Allison Mead Talbot: Thank you, everyone, for joining us for PureTech's 2025 Half Year Results Webcast. Our half year report was made available this morning and filed with the SEC. You can find the materials on the Investors page at puretechhealth.com. I'm joined today by members of our senior management team: Robert Lyne, Interim Chief Executive Officer; Eric Elenko, Co-Founder and President; Chip Sherwood, General Counsel; and Michael Inbar, Chief Accounting Officer. We're also pleased to welcome Dr. Sven Dethlefs and Luba Greenwood, who are leading our newest founded entities, Celea Therapeutics and Gallop Oncology. Before we begin, I would like to remind you that during today's call, we will be making certain forward-looking statements. These statements are subject to various risks, uncertainties and assumptions that could cause our actual results to differ materially, and we ask that you refer to our annual report and our SEC filings for a complete discussion of these items. We undertake no obligation to revise or update any forward-looking statements or information, except as required by law. I also want to remind you that we will be referring to certain non-IFRS measures in this presentation. The presentation of this non- IFRS financial information is not intended to be considered in isolation or as a substitute for financial information presented in accordance with IFRS. A reconciliation of the IFRS to non-IFRS measures that we will be referring to today can be found in this presentation and is also available on our Investor Relations website at investors.puretechhealth.com and in our SEC filings. With that, I'll turn the call over to Rob, our Interim Chief Executive Officer.
Robert Lyne: Thank you very much, Allison, and thank you, everybody, for joining today. We appreciate you taking the time. For those of you who are new to PureTech, just as a bit of a quick introduction, we are a Boston-based LSE-listed biotherapeutics company with a hub-and- spoke model developing new medicines for patients. We entered 2025 with significant momentum in terms of our clinical progress and also this continued through the first half of the year as we continue to release further data from our lead program, deupirfenidone, LYT-100, which we'll talk about more later in this presentation. We see this clinical progress as underscoring the strength of our portfolio and also demonstrating the effectiveness of our business model. In the presentation today, I'm going to be outlining the priorities that we have for the remainder of the year, how we're positioned to deliver long-term value for both patients, but also how we're going to be delivering value for our shareholders. So here, we're setting out on this slide 3 key strategic pillars that we are prioritizing and focusing on as we move the business forward. At the core of our business is developing new treatments for patients. This is still absolutely a fundamental part of what we do as a business. We're looking at moving these programs forward with operational discipline, but also patient-centered urgency. And that reflects the fact that we look to treat new diseases with new treatments where there's very high unmet need. We're also looking as we go forward to strengthen our engagement with U.K. capital markets. And this we're going to be doing through a renewed focus on our LSE listing. We're very grateful to our U.K. shareholder base who've been with us in many cases since the IPO, and we want to ensure that we're continuing to work to deliver for those shareholders. As part of this, we're announcing today that we're going to be appointing up to 2 new nonexecutive directors to the Board going forward, and we will be looking to ensure that there is U.K. capital markets expertise in those appointments so that we can strengthen the Board in that way. The third pillar that we're focusing on as we look at strategic execution going forward is our disciplined capital allocation approach. This is a big advantage of the model that we have through the hub-and-spoke development of assets. What this means in practice is that we can take assets at an early stage, deploy modest amounts of capital, perform killer experiments to see whether really we think that there is a potential drug there or not and discontinue early if we don't see promising results. What it also allows us to do is to develop and deploy significant capital into areas where we think there is the potential for a new exciting treatment that will have a big impact for patients, but also deliver significant financial rewards for PureTech. This is best exemplified by Karuna Therapeutics, which many of you will be familiar with, where we allocated only $18.5 million of capital spend to bring that program forward. It was spun out into a separate entity and later floated on NASDAQ raised significant external capital there and successfully took its asset KarXT through to approval, which is now being marketed as Cobenfy for the treatment of schizophrenia, and that was a significant patient success for patients, but also a significant financial success for PureTech. So that is the disciplined capital allocation approach that we look for as we operate our model, and we're looking to repeat that pattern with our latest founded entities. We'll be talking about the 3 key founded entities in this presentation, Seaport Therapeutics, Gallop Oncology and our most recent founded entity, Celea Therapeutics. On this slide now, we've got an opportunity to look at our current portfolio and value for shareholders. As many will be aware, we've had some management changes at PureTech in the recent weeks. I was asked by the Board to step into the role of Interim CEO, and we also had an interim Chair appointment following the departure of our previous Chair. One opportunity that this gave us was for Sharon Barber-Lui, the Interim Chair and myself to meet with a number of shareholders, listen to our shareholders, understand their views on PureTech and what they wanted to see from us in terms of helping both existing shareholders, but also prospective shareholders understand what we see as the really hugely exciting programs and value within PureTech. So to try and address this, we are taking the opportunity today to present our core components of value slightly differently from how we have done in the past. We really see that at the moment, we have 3 core founded entities, which we think has the potential to deliver very significant upside financially to PureTech and our shareholders, but also to deliver really exciting new treatments for patients. So those 3 founded entities that we are now considering core are set out here, Celea Therapeutics, Gallop Oncology and Seaport Therapeutics. These are all founded entities which began as programs within PureTech, where we either developed the assets ourselves or in- licensed them and worked on them, derisked them, took them through clinical trials ourselves and then reached a point where depending on the maturity of the asset, we've decided it was right to spin them out. So Seaport Therapeutics, that was spun out last year. We have often had many questions on Seaport about the post-money valuation of that business. We still own just over 35% of the equity in Seaport Therapeutics. We also have tiered royalties on the drug products within that company because they were developed within PureTech originally. In terms of the valuation of Seaport, we have a valuation in our accounts, which is available publicly, but we have been asked in the past about the Series B valuation. And so we thought it would be helpful today to confirm that there was a $733 million post- money valuation on Seaport at the Series B, so a fairly recent financing, which was led by absolutely top-tier validated venture capital investors. We also have 2 of our newest founded entities here, Gallop Oncology and Celea Therapeutics, which are also now being formed into separate businesses such that they can also attract external funding as they move their programs forward. This is the example of our hub-and-spoke model in action, where we are seeking to leverage external capital to continue those assets whilst retaining significant economics. Each of these founded entities is 100% owned by PureTech at the moment. We are seeking external capital there. That will enable us to shift the future R&D and cost of those programs off the balance sheet of PureTech into these separate entities such that they can leverage external capital to take those programs forward. I'm delighted that we're being joined by the leaders of those 2 programs, Sven Dethlefs and Luba Greenwood, who are going to be presenting later on. There are some other legacy assets, which we won't be focusing on so much today. We feel that whilst those assets have been doing important work and they have the potential for significant upside, we don't necessarily at the moment, feel that they are making a material contribution to the value of the business. And therefore, we feel it is more helpful for shareholders if we focus on the 3 that we've set out there. So as well as those core components of value from the founded entities, we also have a royalty and milestone income relating to Cobenfy. Again, this is a great advantage of our model, which is that because the drug was developed internally at PureTech, we have these nondilutive economics, which continue to return value into PureTech despite the fact that the asset was spun out into a separate entity and then actually acquired delivering an equity return to us. So we have 2% on royalties of Cobenfy sales above $2 billion annually. And then also, we're entitled to certain regulatory and commercial milestones on Cobenfy. We've been listening to shareholders very carefully about their feedback on the Cobenfy economics. We have repeatedly been asked whether we can give some indications around potential value by reference to third-party analyst forecasts. We'll be talking about that today, and we've taken the opportunity to do some indicative modeling around what those economics could look like against consensus analyst forecasts, and it's coming out as a value of around $300 million over time, and we'll talk a little bit more about that later on. And then finally, a key element because of the huge success we've had in terms of generating value historically, we are in the fortunate position of having a very healthy balance sheet. We still have just under $320 million of cash at the PureTech level. We haven't had to raise money for many years. We've become a self-funding business, which has meant we haven't had to dilute our shareholders, and we're in the position of having operational runway well into 2028. And obviously, that can extend further as founded entities spin out and reduce the R&D and cash burn on the PureTech hub. So here, we have a slide which sets out the potential forecast for the economics around Cobenfy. So as I mentioned in the prior slide, we've been listening very carefully to our shareholders around how we can help be as transparent as possible about the potential value that we see within PureTech. And one comment we have repeatedly is a request to give some more clarity around the potential value of these future economics around Cobenfy. We do have commercial confidentiality around some of these payments. However, what we thought would be helpful would be to give the current analyst forecasts for Cobenfy sales. We get these from independent bank analysts that cover Bristol Myers Squibb, the large pharma, which bought Karuna. But there's a number of very high-quality independent analysts who are giving forecasts of what the Cobenfy sales are likely to look like up to 2033, which is when our royalty period ends. What we've set out here is the range of the low to high forecast and taken a simple average of those forecasts and then model out what that would look like both in terms of the 2% royalty above $2 billion annual sales, but also milestones that would be triggered. This is not our internal value of the economics here, but we thought it would be helpful to provide a third-party view neutrally based upon these consensus-based forecasts from the analysts. We think that there is real significant upside from here. It's worth noting that these forecasts are very often based, in some cases, just around the existing approval for schizophrenia. And there is a pivotal trial readout coming up at the end of the year in Alzheimer's psychosis. And if that is positive, then that has the potential to significantly increase potential sales, particularly in the later period. We hope that this is something that shareholders will find helpful when seeing this indicative projection as they look at the significant value that we see within PureTech. So we're turning now to Seaport Therapeutics. This is the first of the 3 core founded entities that we wanted to talk about today. We see this as another successful example of the disciplined innovation model that we've adopted and which has produced Seaport Therapeutics. So this is a clinical stage biopharmaceutical company, and it's focused on advancing novel neuropsychiatric medicines. Similar to the setup you'll have seen in Karuna, we've maintained actually meaningful economic interest in Seaport through the equity position. As you see, we're a very significant shareholder at 35.1%, but we also have rights to tiered royalties, milestone & sublicense payments around the drugs that Seaport is advancing. We see that as a key advantage of the PureTech model. Seaport was founded in April 2024. Since then, it's raised over $325 million. But crucially for us, this money has been raised from top-tier life science investors. So this includes the likes of ARCH, Third Rock, Sofinnova, General Atlantic, T. Rowe Price and others. That we see as an important validation of Seaport, and it was great to see that so many really high-quality investors were excited about the opportunity here as we were. Another key validation point here is that Seaport is led by a really high-quality seasoned leadership team and crucially that has actually a track record of success in neuropsychiatric drug development and in bringing those new medicines to patients. So the key individuals here at Seaport, Daphne Zohar, who many shareholders will know, so former CEO of PureTech. She moved into the Founder, CEO role at Seaport last year. She has been joined by Dr. Steve Paul. He's another founder of Seaport. He was the former CEO and CSO at Karuna, which was spun out of PureTech and developed Cobenfy. Steve Paul is a former President of Lilly Research Labs, and he in his career has been involved in developing many, many important neuropsychiatric medicines, including big blockbuster drugs, which some of you may be familiar with, such as Cymbalta, Zyprexa and Prozac. So we see this as a crucial part of the value in Seaport and also as a great indicator of the potential for huge success with this business. Looking at what Seaport is actually doing at the moment. So they've got a robust pipeline of 3 novel medicines, which are being progressed. All of these programs that you see here have the potential to become first-in-class treatments. Crucially as part of the PureTech model that we've seen with other founded entities such as Karuna, they've already -- they're built on mechanisms where we've already seen demonstrated clinical efficacy, but they were held back by an issue that Seaport is now addressing using the proprietary Glyph platform. Glyph platform was initially advanced at PureTech. It's really quite an elegant solution. And what it does is it allows one to cloak drugs in such a way that the body recognizes them as dietary fats. Now the advantage of doing this is that one can substantially reduce the side effects, often including liver stress, which enable drugs that would otherwise only be delivered via an infusion to be taken orally. And this can have a significant impact on the attractiveness of these drugs. This is an area of very high interest for both pharma companies and investors, many of whom are on the hunt for what could be the next obesity-like opportunity in medicine given the potential market opportunity here. So we are really excited by Seaport Therapeutics and are looking forward to keeping you updated on their progress as they move forward. So we now turn to the second of the 3 core founded entities that we're discussing today. This is Celea Therapeutics. This has been launched in recent weeks under the leadership of Sven Dethlefs. I'm very pleased now to introduce Sven, who is going to talk more about Celea.
Sven Dethlefs: Thank you, Rob, and hello, everyone. Many of you have probably seen from the website that I've actually been working with PureTech for over a year as entrepreneur-in-residence. I'm excited to lead Celea Therapeutics as I believe we have the potential to bring a truly groundbreaking therapy to patients suffering from IPF. So what is IPF? IPF is a progressive lung disease with a median survival of just 2 to 5 years after diagnosis. The current standard of care treatment offers only modest efficacy in slowing lung function decline. In addition, the side effects of standard of care treatments prevent patients from reaching higher, more effective doses. And unfortunately, as a result, treatment uptake is low. Only 1 in 4 patients with IPF in the USA has ever been treated. And even for those who start therapy, more than 40% eventually discontinue due to side effects and the lack of efficacy. Yet despite these limitations, the combined peak sales of the 2 medications approved have reached over $5 billion in annual sales. And that, of course, underscores the enormous opportunity that a new treatment for IPF would have. Deupirfenidone has the potential to be used across multiple patient segments. What we aim for is a therapy that can be used for patients who currently are not on treatment or those who have discontinued treatment, but also those who have actually already started treatment with one of the other 2 medications because we believe this drug has a very nice profile between efficacy and tolerability, which will be attractive for all patients that are suffering from IPF. We believe in the potential of deupirfenidone because of the unprecedented efficacy that we have seen with deupirfenidone 825 milligram TID in our ELEVATE study. ELEVATE was the Phase IIb study that we just completed last year in December. And there are 3 elements that I would like to highlight. One is the potential for lung function stabilization. What we've seen with deupirfenidone 825 milligram, so our high dose, was that the efficacy approached the natural lung function decline expected in healthy or older adults. That was unexpected. The efficacy will beat standard of care when you compare it to an active comparator that we used in the trial, pirfenidone, where we've seen a 50% greater treatment effect with our 825 milligram TID. And what we can also say is that we not only had an active comparator, but we also had the comparison, of course, to placebo. And since we've seen that both placebo and pirfenidone behaved as expected as shown in other trials before, we know that we have run a high-quality trial and that this treatment effect is having real potential for these patients and especially since we can support the observations with pharmacokinetic data that has shown that deupirfenidone 825 milligram has 50% greater exposure versus pirfenidone, which may have driven the greater efficacy observed. So we have here a nice correlation between the pharmacokinetic data and the efficacy in the trial. And I think the whole package of efficacy and tolerability data points to the enormous potential this drug has. I would also like to share the data from our open-label extension data of the Phase IIb trial of ELEVATE. That is the continuation after the blinded phase for another 26 weeks. So we have overall 52-week data. What you would expect over 52 weeks in IPF patients is a decline of around about 200 to 350 ml without treatment. So that's based on historical data. And what we've shown with our patients that have been on 825 milligram over 52 weeks that they have only a decline of measured here 32.8 ml, and that is comparable to healthy older adults as we all lose lung function when we age. And that gives us confidence that what we have seen in the first phase of the trial. So the first 26 weeks in the blinded phase is actually confirmed also in the open-label extension trial. So that's, of course, a data set that we will take to the FDA and it reinforces the completeness of the package that we have for our Phase III trial design. So we have here also a nice additional data set. We believe if this can be replicated in Phase III, it would constitute a substantial improvement over current IPF treatments. And for that reason, we believe deupirfenidone can be the new standard of care for patients suffering from IPF. Let me also spend a moment on why we believe this program is differentiated versus other IPF programs in the industry. So the nature of the disease is idiopathic for that reason, new mechanisms of actions for this disease have an inherent risk linked to it. Our program is based on pirfenidone, a medication that has been established for over 10 years. It's well studied. And since we have a deuterated version, the molecule itself is already having a different risk profile than the other program that you would see in IPF. We have that complemented with a really robust and broad Phase II trial over 26 weeks with a 52-week open-label extension data that I just took you through. And then, of course, we also had a statistically significant outcome on the high dose versus placebo, although the trial was not powered for that effect. We also saw a very good study quality itself due to low variability in our trial. It was a high-quality trial. And as I mentioned before, the availability of an active and nonactive comparator with pirfenidone and placebo gives us, of course, confidence that we have a very good data set in our hand. So now going forward, what does it mean for Phase III? The Phase III design will recapitulate key aspects of the ELEVATE trial, focusing on the high dose, and that is something that provides us with a complete package to develop a drug that will not only be potentially successful, but also a new standard of care. In closing, we believe the deuterated pirfenidone program is positioned to become the next standard of care. We have a complete data package, as I've shown you here, we will share more of the data at the upcoming European Respiratory Society Congress in Amsterdam that's happening in September, where we show more of the Phase IIb data and especially the open-label extension phase. Our end of Phase II meeting is expected at the end of the third quarter of '25. And of course, pending alignment with the FDA, we anticipate the Phase III initiation in the first half of 2026. Thank you very much.
Robert Lyne: Thanks very much for that, Sven. We are really proud of the launch of Celea. We see this as a great example of the PureTech model in action, and we're really looking forward to the enormous impact, which we think deupirfenidone is going to have on patients worldwide and the potential value that this can generate for PureTech. We are not actually looking to fund Celea's further development entirely from our own balance sheet. This is us using the hub-and-spoke model to ensure that we leverage external capital and to take this program forward, and that is a key area of focus for us and Sven at this time as we secure the Phase III trial design. So next up, I'm delighted that we're now being joined by Luba Greenwood, who is the CEO of Gallop Oncology. Gallop houses PureTech's oncology assets, which we have spun out into this separate entity. We see this as another clear example of our model in action and the repeatability of that model, as you've seen with Celea, but also with Seaport, which has already raised external funding and historically with Karuna, which was successfully acquired. I'm delighted to hand over to Luba to talk us through this company.
Luba Greenwood: Thank you, Rob. I'm excited to be here today to walk through the latest developments at Gallop Oncology. At Gallop Oncology, our mission is to move boldly and decisively to bring forward novel treatments for patients facing some of the most challenging cancers. Our lead program, LYT-200 is a monoclonal antibody targeting galectin-9, which is an oncogenic driver and a potent immunosuppressor in cancer. By activating the immune system and driving direct tumor cell killing in acute myeloid leukemia or AML and other leukemias, LYT-200 takes a differentiated 2-gear approach. This dual mechanism is critical in oncology because past efforts relying on a single mechanism often fall short. That's why we're extremely pleased about the progress we're making with LYT-200. We have received multiple FDA designations, including Fast Track and Orphan Drug designation for AML and Fast Track for recurrent and metastatic head and neck cancer in combination with anti-PD-1. These designations not only highlight the urgent need in these indications, but also reflect the quality of the efficacy and safety data that we have generated so far. We're very encouraged by the clinical data we have generated to date across our LYT-200 trials. As of this month, we have completed enrollment in Phase Ib AML and high-risk myelodysplastic syndromes or MDS trial, which is evaluating LYT-200 as a monotherapy and in combination with venetoclax and hypomethylating agents. The trial is in patients with relapsed/refractory disease, where the overall survival is approximately 2 months, and there are no established standard of care options to date. As monotherapy, LYT-200 has demonstrated a clear clinical benefit. In combination with venetoclax and hypomethylating agents, we are seeing responses that suggest LYT-200 may meaningfully enhance current therapies with patients achieving complete responses, hematological improvements and even transfusion independence. We last shared data in April for nearly 60 patients across both arms. Since then, we enrolled nearly 30 additional patients and continue to see meaningful and sustained clinical benefit, resulting in longer treatment durations and extended follow-up. This has allowed for the collection of more mature data sets. And I am pleased to share that we have selected a dose that we intend to propose to regulators for advancement into Phase II. With the strength of the responses observed to date and the longer treatment durations achieved, top line efficacy results are now expected in the fourth quarter of 2025 with additional efficacy and overall survival data anticipated in the first half of 2026. These milestones will provide a more robust foundation for regulatory discussions and will help further derisk the design of Phase II studies and inform the broader development strategy. I'm also pleased to share that we have completed our Phase Ib trial of LYT-200 in solid tumors, where outcomes for relapsed/refractory patients remain poor. The trial evaluated LYT-200 both as a monotherapy and in combination with anti-PD-1 antibody tislelizumab and confirmed a favorable safety profile across all cohorts with particularly promising efficacy signals in head and neck cancer, where we observed a complete response lasting more than 2 years as well as a partial responses and stable disease. Taken together, the growing body of data across hematologic malignancies and solid tumors reinforces LYT-200's potential as a differentiated therapy with very broad applicability. With key data readouts expected beginning later this year, we look forward to building on this momentum and unlocking the full value of this program for patients.
Robert Lyne: Thank you very much for that, Luba. Gallop is still wholly owned by PureTech today. We see significant value creation potential within those programs, consistent with our model. We're in a position to get external funding to help take those programs forward that allows us to retain economics. As we look at these catalysts across the core programs, given the nature of our business, these catalysts often -- expected catalysts take the form of data and regulatory interactions. As you'll see, the cadence of these milestones across the core programs is a direct result of our hub-and-spoke model, and this is something we're very proud of. So just turning now to the financial highlights. I'm pleased as I said at the outset that we have ended the half year with a strong cash position. Again, this is a result of an evergreen business model. We have not had to raise external capital for many years. So we ended the half year with cash, cash equivalents and short-term investments of just under $320 million. This compared to an equivalent number at the end of 2024, at the end of the full year of just over $366 million. On a consolidated basis, our cash, cash equivalents and short-term investments were also just under $320 million at the half year. This compared to a figure at the full year, at the end of 2024 of $367 million. In terms of our cash burn, during the first half of this year, we've been looking to implement strategies to drive efficient operations, both in terms of our R&D spend, but also in terms of our G&A overhead. We did see that reduce year-on-year, reflecting the fact that we have costs which moved out of the PureTech hub into Seaport when it was spun out in 2024. That had an impact on our R&D and G&A. On a consolidated basis, we had operating expenses of just under $50 million in the first 6 months of 2025. The same period last year was at $66.7 million. So one can see the reduction there as Seaport has spun out. And we expect going forward that we will see a continued reduction in R&D and G&A expense as we progress the spinouts of Gallop and Celea. Thank you very much for your attention. I hope that has been a helpful presentation. We really do want to thank all of the stakeholders who help make PureTech what it is, the clinical trial participants, their caregivers, advocates, clinicians, the partners who are all absolutely crucial to the operational work of our business, but also to our shareholders who have been incredibly supportive of this company and have enabled us to achieve what we have achieved. And also personally, I'd like to thank the PureTech team and Board who have been working hard to make sure that we can have a positive impact both for patients but also for our shareholders. And with that, we'll now open the call for questions.
Operator: [Operator Instructions] Our first question comes from Miles Dixon from Peel Hunt.
Miles Dixon: Great. Thank you for the presentation. That was really helpful. Particularly good to be able to drill down and focus on the core programs. I've got a few questions, but maybe if I could just ask this one first and then I'll go back. The operating costs in first half '25 of $49 million. I think we've seen half-on-half for 3 reporting periods now that's coming down. Can you give me -- I mean, I assume that there's very little in there that's a contribution towards Seaport given that, that was spun out in December. But can you give me an idea as to what proportion of that $49 million is for operating and R&D expenses into Celea and Gallop? Just a rough guide, if you could.
Robert Lyne: Certainly, Miles. So the majority of the R&D spend, obviously, is attributed to Celea and to Gallop. So as we've indicated, I think, obviously, priority at the moment is looking to get those 2 assets funded with external capital. As they formally spin out, that will remove the majority of that spend from our balance sheet and from the sort of PureTech level P&L. So from that perspective, we would expect that as we go forward to have a further reduction on our R&D overhead as we move into 2026.
Miles Dixon: And I presume then that particularly the guidance around cash runway that any catalysts around financing or partnering would have a positive impact then on your cash runway. Am I reading into that correctly?
Robert Lyne: That's absolutely right, Miles. And also the other element in terms of cash runway, we've got 2 components really to it that are influenced by the Celea and Gallop funding. So one is positive impact on our cash runway extending it further as the R&D spend moves off the PureTech books and goes into these independent entities. We, at the moment, also will be making capital contributions we expect to into those 2 financings. Because those are live financings that we are currently putting together, we're not in a position to guide publicly as to what those contributions would be. But obviously, once those fundings have been completed, that will give us both greater clarity, and we will be sharing that with shareholders around what our future cash burn would look like, but it will also then enable us to give much greater clarity around where we see our cash pile post those 2 financings. And that would also be a natural opportunity for us to consider how that cash may be used to help generate returns for shareholders.
Miles Dixon: Great. And if I could just ask on Celea, given that the newest entity in the -- well, not necessarily the asset, the newest entity in the portfolio. You've obviously got a pretty busy period coming up, 3Q FDA meeting that you mentioned, fourth quarter trial design and then a first half '26 beginning. Is the trial design something that you would consider or would think that it would be necessary for partners to have a look at? Or is this something that you're supremely confident in pursuing regardless of partner interest? I'm trying to do a bit of digging around what the time line for partnering is.
Robert Lyne: It's a great question, Miles. And look, what's important for us around deupirfenidone is that there is such exciting great data that we got at the end of last year and crucially that's been confirmed by the 52-week open-label extension study, which came out earlier in this year. So for us, we think the fundamental attractiveness and potential of deupirfenidone is there, and we know that, that is something that we are getting positive responses from. As you say, naturally, when one is structuring the financing, it ties very closely to what the trial design will look like. We are very confident around the trial design. But obviously, we do need to have those engagements with the FDA at the end of this month. There is a process that follows there to make sure that we get agreement as to what that trial looks like. And that is a natural data point which certain funders would be looking for before actually committing any funds. But obviously, that doesn't stop the active work that is going on at this stage to look at putting that financing package together.
Miles Dixon: Great. And then just one more, and I'll get back in the queue. So I obviously have my own forecast for KarXT, Cobenfy and what the future economics might mean for PureTech. But I was particularly interested by the -- not necessarily the trajectory that you're modeling, but there was clearly some lumpy bits in the early years. I was wondering if you could just give me a high-level indication of what the mechanics are that drive some of that up and down on the economics that fall to PureTech.
Robert Lyne: Certainly, Miles. Exactly. It's in the milestone. So there's the 2% royalty, which is obviously fairly easy to calculate and one can sort of separate that out from the numbers that have been put out today. But also then beneath that are these various milestone arrangements that we have. Those arrangements are with multiple parties and are commercially confidential. So we aren't able, I'm afraid, to provide the sort of full breakdown, but they are obviously influenced in part by the sales projections that we see. And so we thought it would be helpful to set that out. But it's worth noting, as you say, Miles, everybody has their own view on this. I think it's fair to say we internally are more bullish than the consensus. And it's always worth remembering that BMS paid nearly $15 billion for Karuna. And so those guys obviously have their own view as to what they think this drug can do in terms of sales, and they wouldn't have paid nearly $15 billion in cash if they weren't very confident that there being very significant sales for this drug going forward.
Operator: Our next question comes from Faisal Khurshid from Leerink Partners.
Heidi Danielle Jacobson: This is Heidi Jacobson on for Faisal Khurshid. What are the key variables you need to discuss with FDA regarding Phase III trial design for LYT-100? And then we have a quick follow-up.
Robert Lyne: Sure. Well, I'll pass that over to Sven Dethlefs, who's joining us, and he can speak to the Phase III interaction trial design that we're having. So Sven, would you mind taking that?
Sven Dethlefs: Yes. Thank you, Rob. So the briefing book for the Phase III trial design has been submitted to the FDA. As you've seen, we have the meeting expected to be at the end of September with the FDA. What we submitted are questions about the trial design if the FDA agrees. And these are all classical questions that you would expect for a Phase III trial design that gives you at the end -- approval at the end of Phase III. So I would say, without going into further details, we will, of course, share all the details about the intended trial design after we had confirmation with the FDA. But I would say from my experience around Phase III trial designs and what you have is discussions in this particular approach that we took 505(b)(2), it's all pretty straightforward and very [indiscernible] that we asked the FDA to agree to. Thank you.
Heidi Danielle Jacobson: Got it. And just a follow-up. When should investors expect disclosure of pipeline activities beyond LYT-100 and LYT-200? And is BD still possible to expand the pipeline?
Robert Lyne: So certainly, I mean, we are continually looking at new opportunities for innovation. We have a number of assets that are currently under review internally. Our approach historically, which we've always found to be most successful is to try and sort of perform these clear experiments very early on these assets. So we do a lot of both sort of modeling and thinking around potential drug assets and development pathways and also commercial attractiveness. But then also there's work that we can do to really understand if we think there is a potential for a drug there. So that work does continue as and when there are assets that we feel are promising enough and that we really feel that this is something we could be taking forward and putting material capital behind. That's then when we would be pulling the covers off, if I may, and showing them a little bit more. So there are assets like that, that we are working on at the minute. We haven't got anything that's at a stage that we think is right to share yet. But when we do, that is something that we will bring forward and can explain more about what we're working on.
Operator: We now have another question from Miles Dixon from Peel Hunt.
Miles Dixon: If I could just follow up on a question I should have asked on Celea. Could I just ask if there is any preference for the format of partnering it? I mean, is it potentially syndication partnering, royalty, all of the above, still considering them? Just give me if there's anything more you can give me.
Robert Lyne: Sure, Miles. Well, look, I mean, I'd say the most sort of honest answer is we look at where the best cost of capital comes from. And so that's really where the judgment gets made. We would expect that normally, and we've seen this with our other founded entities that equity contributions from external parties are the most natural way of funding assets such as this. So I think if one were to think of that as perhaps the default, that probably makes a lot of sense. But obviously, we do look opportunistically at other forms of capital that we can either augment or replace with depending on the relative cost of that capital and the terms that are being offered. So I would think around the standard spinout with equity contributions from external funders as the default. But then as I say, we do think creatively and opportunistically about other structures that we can use as well.
Miles Dixon: Great. And one for Luba, if I could, on Gallop. There's obviously some interesting data coming in there from both solid and liquid, particularly intrigued by the stable disease between monotherapy and combination therapy, but the response is stepping up quite materially with combo. I was just wondering, I mean, are partnering discussions focused mostly on -- or interest focused mostly on liquid? Or is it split equally, liquid-solid.
Robert Lyne: Sure. Do you want to go ahead with that, Luba?
Luba Greenwood: Sure, absolutely. So we are right now focusing on the liquid and AML. So that's where the focus is in our partnering discussions. But certainly, we're open to all discussions with potential partners and having those ongoing at this time.
Operator: We now move on to any questions from the webcast. And we start with, is UBS planning to research PureTech?
Robert Lyne: So many thanks. Conscious, this is a question that we have had raised by a number of shareholders since we appointed UBS as joint broker at the start of the year. As I'm sure many will be aware, obviously, initiation of research coverage is independent by analysts. That's an important aspect, obviously, the way the model of the system works, such that it ensures the independence of that analyst coverage. So we continue to engage with a number of analysts, including those at UBS. And obviously, we always welcome initiation and coverage, and it is good when that happens, but it is obviously because of the independent nature of that coverage, it isn't something that we can control.
Operator: Our next question reads, please, could you provide some rationale into sticking with London as the primary listing?
Robert Lyne: Certainly. So very happy to respond to this. Our perspective has been there's -- there were fundamental reasons why PureTech listed in London around a decade ago rather than any other exchange. We've always seen, and I think this still holds true that London has a natural attractiveness for portfolio approach businesses such as ourselves. The NASDAQ and U.S. markets, they are important sources of interaction for us, and we have a number of very important U.S. shareholders. But we also do find that a lot of U.S. and specialist investors are not necessarily so naturally drawn towards the portfolio composite approach that we offer. We do find and continue to find that, that resonates well with a number of U.K. holders. We're also conscious that a number of our U.K. holders, for various reasons, can only hold U.K. listed shares, and therefore, it's important that we have a strong and vibrant London listing. So for us, we do not see that there's any need to shift our focus away from London, and we want to make sure that we are continuing to respect and reward our U.K. shareholders who've been so much to fund this company and ensure a success since our IPO.
Operator: Our third question is in 4 parts, and it reads, can shareholders in PureTech get access to the proposed financings of the individual spokes? And how do we get access to those opportunities and access to their structures so we can better understand that what we own by providing transparency into financing agreements? And if you do not allow current investors this opportunity to fund the spokes, are you diluting the value of PureTech investors? And do leaders of the spokes have a conflict of interest with PureTech stakeholders?
Robert Lyne: Very interesting questions and obviously, a few bits for that. So if I just sort of try and unpack a few elements there. So I think there's a request there to access proposed financing of the individual spokes. The fact at the moment, and this is obviously live ongoing with Celea and with Gallop is that when we look to put financing arrangements around that, we follow the traditional -- typically, as I was indicating, VC model where we look to engage with high-quality VCs who are able to diligence and assess those programs and then write checks both for the current financing that we're raising, but also would then be in a position to provide follow-on financing to help continue to move that company forward over time. So because of the way those rounds are typically put together, they are private rounds with a number of specialist biotech VC investors. That's typically the structure, sometimes some strategics as well. Those financings, just the way it is done is they are conducted as private rounds typically and in a confidential manner. So I'm afraid it is not possible for us practically to open up the terms of those financings while we're putting them together nor is it possible for us to open up participation more broadly. Having said that, conscious about the question around understanding the structures and transparency. Obviously, we put out our percentage interest on a fully diluted basis in our core founded entities. We have today included an external data point around the Series B valuation for Seaport, and we see that perhaps that goes some way to helping with the transparency point that's been asked there. I think there was also a question about if you're not allowing opportunity to fund spokes directly, does this dilute the value to PureTech shareholders? Perhaps one way of looking at this is, for us, it's consistent with our derisking and portfolio approach here. So although there's a degree of dilution there, there's also a degree of risk sharing as well. The reality is that biotech and drug development is inherently risky. There are enormous rewards as we've seen in the past when one gets it right. But we also need to be aware that it is difficult and it is risky. And part of what we see is the attraction of the PureTech platform and approach is that we have this portfolio model, which allows our shareholders to benefit in balanced exposure to multiple assets. So I guess it depends which way you look at it. One person might see it as dilution, the other people might see it as sort of balancing risk. So that's maybe just one way of thinking about that. I think the final part of that question was do the leaders of the spokes have a conflict of interest with PureTech shareholders? Our view is that there is actually alignment there in as much as when the spokes win, PureTech wins. So we see that as important that we are all aligned and all benefit from the success of the spokes. Obviously, the critical job of management and the Board of PureTech is that we are working to ensure that when there is success of the spokes, that translates into value at the PureTech level for our shareholders. And that work is a key area of focus for myself and the Board as we move forward.
Operator: Can you share with investors the exact capital structure and economic interest in Seaport so that investors and analysts can model potential results?
Robert Lyne: So I think maybe there's a little bit of overlap perhaps here with obviously the question which we just answered in terms of there are restrictions when these companies spin out, although they are very much PureTech founded entities, and we're very proud to maintain the association with those businesses. They do become separate companies with confidentiality around their financing structures, which is confidential to that company, but also to the other private investors in there. So we are somewhat limited in what we can say. Again, I hope that a little bit of disclosure around the post-money valuation of Seaport might be a data point that some investors may find helpful as they are looking at modeling. I think there was also a question maybe around the economic interest in Seaport. So we have the equity position. We also have tiered royalties. We've put out publicly that that's a 3% to 5% range. The bit of guidance, if it's helpful, the higher percentage, those are really on very significant sales. So it really depends how successful Seaport is. We think that there are, as we're indicating, huge potential for those drugs. Unfortunately, these depressive disorders are very, very widespread. It's an enormous market opportunity, which unfortunately reflects the wide prevalence of those diseases. But obviously, we have potential there for very significant royalties if that asset is successful as it moves forward.
Operator: What key clinical milestones have been funded for Seaport?
Robert Lyne: So I think, again, similar theme, and this is certainly something we want to work on in terms of being as transparent as we can be, but Seaport hasn't guided publicly as to the sort of runway in terms of its different programs. What I can say, obviously, is it's raised its Series A and B last year. So it was very successful in raising capital there over $325 million. That clearly -- and one can see the sort of level of spend we were having on the Glyph programs before they span out into Seaport. They're clearly moving them a lot further, but $325 million is a very significant amount of capital. And so I think investors can be confident that they do have runway and they will be able to make significant progress with the current capital that they have.
Operator: Our sixth question says, can current shareholders have access to funding Gallop?
Robert Lyne: So again, maybe a little bit of overlap again with the previous question. And so the nature of these rounds... [Technical Difficulty]
Operator: It seems we have lost connection to Robert. Please bear with me while I attempt to reconnect him. Eric is going to take over for the time being while we establish reconnection with Robert. Eric, please go ahead.
Eric Elenko: Yes. Just to continue the answer that Rob was giving. Given the nature of the financings and that the financings for our founded entities are ones where institutional investors are the ones providing the capital, it doesn't provide the opportunity for all of the shareholders who are shareholders of PureTech to necessarily participate. However, shareholders of PureTech do get the benefit of ownership of those companies through -- get the benefit of the ownership of the founded entities through their ownership in PureTech.
Operator: Our next question reads, what is a reasonable time line for an appointment of a permanent CEO?
Eric Elenko: Yes. So right now, Rob is the interim CEO, and he is continuing as the interim CEO, and the Board is aware of the status of the CEO position. But for the moment, Rob is continuing on in that role.
Operator: Our next question reads, there has been some strategic interest in the company recently. Can you provide any color on where you stand and when these approaches happen?
Eric Elenko: Basically, as a public company, of course, anyone can approach us at any time. That's not something that's in our control. And if that happens, of course, the Board has a fiduciary obligation to consider any offer that might come its way.
Operator: Thank you very much. That is all we have time for today. We thank everyone for joining the call. You may now disconnect your lines.